Operator: Good day, everyone and welcome to the MarineMax Incorporated First Quarter 2016 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Brad Cohen of ICR. Please go ahead Sir.
Brad Cohen: Thank you, operator. Good morning, everyone and thank you for joining us for this discussion of MarineMax’s 2016 first fiscal first quarter results. I am sure that you have all received a copy of the press release that went out this morning. But if you have not, please call Linda Cameron at 727-531-1700 and she will email one to you right away. I would now like to introduce the management team of MarineMax, Mr. Bill McGill, Chairman, President and Chief Executive Officer; Mr. Mike McLamb, Chief Financial Officer of the Company. Management will make a few comments about the quarter and then be available for your questions. With that, let me turn the call over to Mr. Mike McLamb. Mike?
Mike McLamb: Hey, Brad. Thank you, very much. Good morning, everyone and thank you for joining this call. Before I turn the call over to Bill, I’d like to tell you that certain of our comments are forward-looking statements as defined by the Private Securities Litigation Reform Act. These statements involve risks and uncertainties that may cause actual results to differ materially from expectations. These risks include, but are not limited to, the impact of seasonality and weather, general economic conditions and the level of consumer spending, the Company’s ability to capitalize on opportunities or grow its market share and numerous other factors identified in our Form 10-K and other filings with the Securities and Exchange Commission. With that in mind, I’d like to turn the call over to Bill.
Bill McGill: Thank you, Mike and good morning, everyone. I would first like to take a moment to thank the MarineMax team for all their effort and focus that led to a very strong start to 2016. In our December quarter last year, our team produced unusually strong same-store sales growth of 45% and our first December quarter profit in many years. We challenged our team to exceed what they did last year and they delivered. I am pleased to say, we posted 8% same-store sales growth on top of last year’s incredible growth, but more importantly, we increased our pre-tax profit by almost seven times. Our team has executed on our fundamental strategy of delivering the boating dream by taking care of and exceeding our customers’ expectations. This combined with the right product from our leading manufacturing partners allowed our unit growth to surpass our same-store sales growth. Furthermore, we again benefited and built upon our market share gains as we leverage the significant brand and segment expansions we completed over the past several years. In addition to our year-over-year growth in revenue, we also produced a meaningful improvement in gross margins. Our gross margin expansion was fueled by our third consecutive quarterly improvement in new boat gross margins driven by the various new models our key manufacturing partners have produced. We believe that margins still have the potential to grow on an annual basis as we received new models coupled with generally improving conditions being experienced by the industry. For the second consecutive year, the industry ended 2015 on a positive note with many categories showing increases for the year in the month of December. Actually, the last three months of the year, with small – while smaller months, all showed good data points in the categories that we participate in. We also believe our growth outpaced that of the industry resulting in continued market share gains for MarineMax. In addition to gross margin improvement and new boat sales strength, we executed reasonably well below the margin line and Mike will provide more detail on that a little later. We continue to execute on our strategies that include; passionate team members, our customer-centric approach, our unique pricing strategy, our focus on premium brands and our ongoing training of our team and customers, all coupled with our energy producing events that communicates the virtues of the boating lifestyle. This approach is helping us to continually increase market share and drive industry-leading results. As we have communicated many times over the past several years, our brand and segment expansion was a key factor and strong revenue growth as we emerge from the downturn. Now this internal growth is being augmented by returning industry strengths in our key segments. To this end, in mid-January, we announced another brand expansion as we added European built Galeon yachts to all of our stores. Galeon has been manufacturing yachts for more than 30 years and is recognized around the world for their commitment to innovative designs and exceptional craftsmanship. Their new 50-foot model just won European Boat of The Year due to its numerous innovative features at the Düsseldorf Show. MarineMax will initially carry ten Galeon models ranging from 38-feet to 66-feet. This exclusive relationship with Galeon brings together old world craftsmanship combined with new world ingenuity creating some of the most innovative products in the market today. While focused on quality, Galeon’s value positioning in the marketplace makes it a complementary addition to our brands and should be additive while facilitating same-store sales growth. Albeit, our sale of Galeon will be limited due to product availability in the short-term. And with that update, I’ll as Mike to provide more detailed comments on the quarter. Mike? 
Mike McLamb: Thank you, Bill and good morning, again everyone I also want to thank our team for their very strong performance on top of last year’s outstanding December quarterly results. For the quarter, we grew revenue over $11 million to almost $170 million. The growth was driven by high single-digit same-store sales growth of 8% producing such a solid comp growth on top of last year’s 45% same-store sales growth should be evidence enough that our industry continues to recover and that our strategies and brand expansions have worked. As Bill mentioned, our unit growth was actually considerably higher than our same-store sales growth. This is a very healthy sign. From a cadence perspective, sales volume was very solid as we move through the quarter consistent with the prior year, but unit growth was stronger. Geographically, Florida continues to be strongest but we saw good growth in many of our markets. Our gross profit dollars increased to $41.6 million while our gross margins increased nearly 100 basis points. In addition to new boat margins, we also saw modest increases in key higher margin businesses like finance and insurance which contributed to our overall consolidated margin improvement. Selling, general and administrative expenses increased to about $39 million and slightly increased as a percentage of revenue, but improved as a percentage of gross profit. We did have a few boat shows move partially or entirely from the September quarter to the December quarter and we incurred pre-launch cost associated with our Galeon expansion. Absent these costs, our leverage would have approached 15% in the quarter. All such costs were factored into our annual expectations and we believe they will balance out over the coming quarters. Interest expense was basically flat year-over-year. As noted last quarter, MarineMax has returned to providing an income tax provision. However, we are not expecting to pay significant dollars until we absorb about $50 million of NOLs and other deductions. We expect our fiscal year tax rate for the expense will be in the range of 38.5% to 39%. The December quarter is typically the smallest quarter of the year and usually results in a loss for marine dealers including MarineMax. However, for the second year in a row, we produced a profitable first quarter. We produced pre-tax profit of $1.4 million, and almost seven-fold increase over last year’s pre-tax profit of $214,000. It is exciting to start the year off with the strongest earnings we have produced in the December quarter at over ten years. It’s important to mention that the last time we produced better December quarter pre-tax profits, the industry was twice as big as it is now. This points again to the hard work we have done at controlling costs and expanding the segments and brands that we carry. It also illustrates the point that we can and we should be meaningfully more profitable at lower industry volumes than in the past. On to our balance sheet, at year end, we had approximately $25 million in cash. Keep in mind, we have substantial cash in the form of unlevered inventory. Our inventory at year end was about $326 million which was up 17% from last year, part of the increase is the timing of deliveries of product as we get ready for the winter boat shows and part is due to improved sales and industry conditions. The age and mix of our inventory remains at very healthy levels which we believe could effectively support the business. Turning to our liabilities, our short-term borrowings were about $188 million at quarter end, which was up primarily due to increased inventory given the improved conditions. We ended the quarter with a current ratio of 1.73 and total liabilities to tangible net worth ratio of 0.79. Both of these are very strong ratios. Our tangible net worth is now about $285 million or $11.51 per diluted share. We own over half of our locations which are all debt free and we have no additional debt other than our inventory financing. Turning to guidance, we are reiterating our earnings per share guidance for the full fiscal year. Currently our guiding assumptions are unchanged. We believe we would deliver revenue growth for the full fiscal year of approximately 9% to 10% with the potential to exceed that. We still expect after-tax earnings per share to range from $0.60 to $0.70. This would compare to our adjusted but fully tax diluted earnings per share of $0.47 in fiscal 2015. The adjustment to 2015 eliminate the gains we recognized and the deferred tax asset reserve reversal. While our December quarter was stronger from a top-line and earnings perspective than our directional guidance we gave last quarter, it is by far the smallest quarter of the year. We think it is prudent that we at least complete the March quarter to get a better perspective for how the season and year may unfold before addressing guidance. Lastly, I’ll comment on current trends. Last year, you may recall, January was a very strong month for us. While this January finished down slightly due to the timing of closings, we are pleased that our backlog as we started the March quarter and today, it’s considerably higher than it was this time last year. I would also note, we sold a lot of the units in dollars to the choppy stock market the last several weeks. Looking at our January boat shows, like every year, some are up and some are down. They generally got better as the month progressed. But net-net, that some of our January boat shows is meaningfully up. It is also noteworthy that consumer confidence also rose during this time. Having said this, it’s early in what historically is a large quarter and one whereby March is usually as big as January and February combined. As such, we certainly have a lot of work ahead of us as we move through the winter boat show season in the rest of the quarter. We are also up against a tough comp again in the March quarter with same-store sales growth of 27%. And with that update, I’ll turn the call back over to Bill. 
Bill McGill: Thank you, Mike. We have now entered the busiest time of the year for MarineMax and are energized by our first quarter positive earnings. As we said earlier, new products utilizing innovative designs and technology are starting to permeate our inventories while being advertised and promoted by the manufacturers at various boat shows. These new products are resonating with the boating consumer and we are the company best positioned to deliver their boating dream in the value-added services we provide, plus their great innovative products. We are certainly very proud of the hard work our team does everyday. Our customer-centric approach is fundamental to our core operating philosophy. In addition, the main message we have communicated for the last several years has been new, innovative product sales. With our team, our strong industry manufacturing partners and their investment in new models to meet the rebounding demand, our growth has accelerated as we move forward in the recovery. The growing interest in new boats and our commitment to enhance the boating experience is clearly the right formula for the boating public based on the strong start to fiscal 2016. Despite our increase in backlog and success at boat shows, we are fully aware that we are still early in the year and have a lot of work ahead. Overall, we are encouraged by the continually growing interest from potential customers and by the increase to-date at the shows as well as the boating participation by our customers. From an acquisition perspective, we announced earlier this week that we purchased another marina. The marina we brought in Pensacola, Florida is one of the longer operating and larger marina and it’s a very important panhandle market. Besides producing solid cash flows from their slips and storage capacity, it is a great place for our operations and our brands to now call home. We will also continue to be in discussion with dealers, as we seek accretive additions that we believe add long-term value in key select growth markets. MarineMax remains an industry leader and we are committed to building and strengthening our presence with our team, our approach, our balance sheet and the most desired brands. We are positioned to capitalize on the current trends, increase our earnings, and cash flow and fortify our position as the leading marine dealer. Let me again thank our team for their efforts, their ongoing commitment and their passion for our customers. Our team understands and is focused on the core philosophy that boating as a part of the MarineMax family changes people’s lives. And with that, operator, we’d like to open the call up for questions. 
Operator: Thank you. [Operator Instructions] And we’ll first hear from Mike Swartz of SunTrust.
Mike Swartz : Hey, good morning guys. 
Bill McGill: Good morning, Mike.
Mike McLamb: Good morning, Mike.
Mike Swartz : Just around some of the commentary with regards to sales in the quarter, I think you said that unit volume was up considerably more than the same-store sales number you provided. Just, in light of the industry unit volume up I think about 10%, can you just, give us a little more color just relative to that 10% number, where you came in on a unit volume basis?
Mike McLamb: Yes, thanks, Mike, yes, our – when we talk about units being up, we are obviously referring to new and used combined and our new and used units combined were about double our same-store sales growth of 8%, so closer to 16%. If you break it apart and look at just new, which is what you are looking at with the industry data, we are about 20% up in units in the quarter and if you break it apart by certain brands, and we had some very strong growth by some of the brands that have come out. A lot of new models recently including Sea Ray. But, now it was a good quarter for the industry and obviously we had a very good quarter on top of a massive quarter last year. 
Mike Swartz : Okay. And then just, sliding to gross margin came in ahead of expectations and I am just wondering, in terms of the quarterly progression, I know years ago, the first quarter was your highest, kind of seasonal quarter for gross margin, but just given the kind of surge in new boat retail sales we’ve seen in the last two years, I mean, has anything changed in the way you think about just the cadence throughout the year? In other words, should this – should first quarter be the high point in the year? Or should we see some sequential improvement over the next couple quarters? 
Bill McGill: Good question, Mike. If you go back over time and look at MarineMax’s quarters during a higher industry volumes, the December quarter was not normally the high mark. It was probably one of the lower marks because of big boat sales and so forth. As the industry is recovering and as we now have more meaningful boat sales in our revenue mix, our margins this quarter are – I don’t want to say they are at an all-time high, but they are near normal high, if you go back and look like 2003, 2004, 2005, 2006, of course, we think, we still have opportunities for improvement there. So, yes, I would think as we look at the March quarter and the June quarter, now we think, we still have opportunities for margin expansion, especially as the new models are coming in. Now that that’s been baked into out guidance as we talked about last time, we’ve got a – keep trudging through this big March quarter and then we can readdress all that stuff. 
Mike Swartz : Okay. That’s helpful. Thank you. 
Bill McGill: Thank you, Mike. 
Operator: And next we’ll hear from Jimmy Baker of B. Riley & Company.
Jimmy Baker : Hi, good morning, Mike. Good morning, Bill.
Bill McGill: Good morning, Jimmy.
Mike McLamb: Good morning.
Jimmy Baker : So, completely understand the desire to maintain the guide given we are so early in the fiscal year and the seasonality of the business, but, just, I guess, looking back at your comments on the last call that you would typically lose money in the December quarter and that a more normal expectation will then for you to have negative same-store sales against the tough compare. Is it fair to say, not only that you exceeded through the expectations, but also you are ahead of your own expectations thus far in the fiscal year?
Bill McGill: What we said, on the September call in October, I mean, mathematically, we should have seen negative comps. I mean, we said that and we believe that and we should normally have a loss in the December quarter. As Bill, thank our team and our team rose to the occasion and delivered a very strong quarter. Now given also the backdrop, it was a healthy industry quarter also and we capitalized on that and did a lot better than the industry overall and grew share. We do continue to think it’s prudent to not adjust guidance though as you said until we get more meaningfully through the year, maybe after the March quarter take a look things. 
Mike McLamb: But it was the new models, Jimmy, primarily that drove the margins and, we keep saying new innovative products is what sells and it’s what the customers wants and gives us a even greater competitive edge. And so, that was the biggest driver and I think going forward, we will get more and more of the new models from our manufacturers and as a result, that should help margins for the full year, but we got the one of the biggest quarters ahead of us here. So, that’s the reason we are keeping the guidance where it is. 
Jimmy Baker : Understood. And then, I guess, just given your comments on the timing or availability of Galeon product, what ability will you have to capitalize on that incremental brand at Miami and the remainder of the boat show season?
Bill McGill: Well, Jimmy, the launch of the brand in the public is Miami and we are very excited about the product, not that it’s going to compete against Sea Ray or Azimut, and I think take business away from them because, that’s not the intention of the brand is to – we had which is there is some value brands that are out there from Europe and the US that have created us some angst from a pricing standpoint and so here we’ve got a quality product at a good price. And so we believe that it’s a great addition to our family and it will keep our customers in the family. So that down the road, they can buy a bigger Azimut or a Benetti down the road by being part of our family versus having defected due to price with some other brand that we weren’t representing. So we are very excited about it. From that standpoint, and they are going to be great partners and we did a press event a few weeks ago down in – at our Fort Lauderdale show and a few of the riders for some of the major marine press publications said, you got a problem with this brand and I said, what’s that, and they say, well getting enough of them. So, that’s going to be a good problem to have. So, we are excited about it. But, that being said, we have incredible new products coming from Azimut. We got wonderful new products coming from Sea Ray, the new SLX product is fantastic and of course the 59s and 65s and 40s and the new 45 coming are all going to be very good. All of that is going to help us not only with their margins, but also with sales and our team is very, very excited about it. So really one of the first times in many, many years, we have a portfolio of a lot of new products that are going to do very well for us. Boston Whaler and Scalp we kept – them with stock with their new models. So, it’s a very exciting time. Albeit, we are still challenged in getting enough of them, which we will also have that situation with Galeon, but, you’ll be able to see them in Miami if you are there and for our launch and we are doing this right and we are going to do it right. I think we got a candidate wherein like ten different displays at Miami. So, we are there in a big way and Miami will be a great tale tell on what the quarter is going to look like. 
Jimmy Baker : Okay, I’ll be there and look forward to seeing them if I could just sneak in one last question here on, but just on the yacht segment as a whole, if I look back at the March quarter a year ago, even though you did put up the 27% same-store sales, you called out the headwind from industry-wide declines in that yacht segment. This time around, the yacht segment entering or exiting – excuse me – calendar year, 2015 on some considerable strength, double-digit growth and I think, Brunswick indicating they are driving virtually the entirety of that growth. So, I guess, when we think about it intuitively, maybe that buyer seems most exposed to volatility in financial markets, but we are just not seeing that in the numbers. So can you help us understand, I guess, the puts and takes in the high-end and so many anecdotes out of early boat shows?
Bill McGill: The high-end market is for sure, the strongest of all of our segments and those buyers, quite frankly, I think they are immune to what’s going on with a lot of what’s going on in the market, because they do have a lot of discretionary dollars and also huge boating desire. So, we continue to do well in the larger product and we did well even in January with potential sales, et cetera, given all the volatility that was going on around oil and in China. I guess, we struggle to understand how oil has a negative impact on our economy, because I would think that oil prices have to have a much greater impact on our economy positively in people’s wallets than the damages being done to the oil industry by being down. What about all the transportation that exists in the world today and our economy. So, it’s just a bunch of noise and for sure, our consumers that are in a middle-market or middle-class America have more discretionary dollars in their wallets is they are spending less for heating oil and less at the gas pump. 
Mike McLamb: Jimmy, I’ll say it’s up in else, everything that Bill just said, certainly applies, but a big, big, big difference today and really in the last couple of years, but even more so today is the manufacturers in the industry have been investing in new models and in a big, big way, not just, obviously, Sea Ray is doing a lot of it and they are doing a great job of it, but, every manufacturer out there is investing in new models and you can see it whether it’s marine products or it’s Malibu or anybody else’s public, the new stuff is selling, and selling well. So if you look at the bigger product, Sea Ray has a new 40 which is being off the chart’s strength right now, very, very strong. The 65 and the 59, you guys already know about. They are stuff bigger than that that we have with Azimut and other brands that is new that is sold out or being very well received. So, I think a lot of what’s driving the strength up and down the size category and even the price category is new product and it applies as well to big yards as it does to smaller boats. There is just – with such a void for a so long in our industry of investment and…
Bill McGill: And to that point, Jimmy, a few years ago, Azimut came out with their 64 fly and I don’t know if I can put the exact number of units that we’ve sold, but, I mean, it’s a big number, huge number. They just came out with the new 66 sputter which I saw at the Düsseldorf Boat Show and I mean, it is a wow product. And so, that’s what drives the market and when you get new product and especially to the premium segment, the luxury brands which we sell, that’s the game changer for us. 
Jimmy Baker : Thanks, very much for the color. I appreciate the time. 
Bill McGill: Thanks, Jimmy.
Operator: Next we’ll hear from Greg McKinley of Dougherty.
Greg McKinley : Yes, thank you. So we’ve talked a lot about how new product has helped product level margins. I wonder if you can talk about the ability of new product influence margins, I guess really by size of boat, because my perception is most or lot of the fresh products in the market today is smaller size boats and more of the new product coming will be in larger boats, which I would think would have an opportunity to be more differentiated product versus what would be a pretty crowded market from a variety of vendors in the small boat category. So as we get that fresh product, are we going to get a bigger gross margin delta than we’ve already experienced with the fresh product that’s currently in the market today? 
Bill McGill: You bring up a good point and generally, the bigger the product, the greater you can differentiate it for something in the marketplace and you do have an opportunity to have brand – margin expansion on it. Having said that, for almost everything we sell, except for the large products, the – that are Big Ocean Alexander, Hatteras,, our margins as a percentage are relatively consistent from a 19-foot boat to a 65-foot boat. So, when the 19 comes out, everybody is excited about it sells well and we use that as an opportunity to raise margins. It’s just when a 65 comes out, you can raise margins on that. It more maturely affects our consolidated results. And so, that’s really where it plays in, it’s more about mix of how many of the 65s are you able to sell or 59s or the 40 that I mentioned, the 49s or 45. 
Greg McKinley : Okay.
Mike McLamb: And, Greg, you’ve got to couple that with the fact that, from some of the manufacturers we’ve had larger boats that were pretty long in the tooth and we had to buy some in order to keep our business go on until the new products came and those really hurt margins and so, as they are being replaced by the new models, you don’t have that pull down from the older models affecting it. Now that being said, that takes years to totally replace the line, which is where the manufacturers are headed. 
Greg McKinley : Yes, thank you and then, can you talk about and we talked, I think it was in the June quarter, part of the margin discussion was that used boat inventories were little high. You had indicated that that had cracked it in September. Wonder if you can guess any update there in terms of where you sit heading out of December? And then, also financing, are you seeing any changes in the number of transactions financed or the percentage of the transaction financed in the terms available to people?
Mike McLamb: Yes, good questions, again. So, yes, we started this fiscal year with a reduced used inventory. We actually are going into the March quarter with reduced used inventory in terms of dollars. So, sort of consistent with how we left the last fiscal year. How this quarter is starting. From an F&I perspective, we are seeing more lenders come in, more people are wanting to get into the marine space than in the past, which I think is a healthy thing. I would say that, given where rates are and so forth, people want to finance their boats today, probably incrementally greater than maybe in the past. Although, I’ve always said that if we sell 100 boats, 85 get financed and that was true in the darkest days of 2009. That was true in the brightest days of 2006, maybe not quite true in the darkest days of 2009, but now there is more lenders there. It’s a – with each month and week, it becomes a friendlier financing environment. 
Greg McKinley : Very good. Thank you.
Mike McLamb: Thank you, Greg.
Bill McGill: Thank you, Greg.
Operator: James Hardiman of Wedbush Securities. 
James Hardiman: Hi, good morning. 
Bill McGill: Good morning, James. 
James Hardiman: Thanks for taking my call. 
Bill McGill: Thank you James.
James Hardiman: And congrats on a great quarter.
Mike McLamb: Thanks.
James Hardiman: I was hoping you guys could give us as much geographical color seemingly possible, you mentioned Florida was strong, but, as we think about two issues, one, the weather impact right, so, certainly Midwest, East Coast unusually warm, just want to make sure we are not sort of getting out ahead of ourselves given, based on demand being pulled forward a little bit. And then, I guess secondly, with respect to energy markets, right. Obviously, the big concern is that, lot of the states that are big energy producers are really struggling. Can you sort of speak to geographical trends with those two facets in mind?
Mike McLamb: James, let’s start with New Jersey. There was a sales tax law that just went in place which basically caps the amount of sales tax on boat purchases and yacht purchases and it went in, in fact on February 1. So, we actually had delayed sales. 
Bill McGill: Because that was announced in, like November, December.
Mike McLamb: Yes, it was announced in November. So during our January and even part of December quarter, we had customers at obviously wait, why wouldn’t they wait until they can save some money on their sales tax. The warmer weather in the Northeast, we haven’t seen it has a positive impact on our business and we haven’t seen it has a negative. And you know, I think the northeast is more impacted by noise in the stock market than it is the weather in a lot of cases, and so, - but the rest of the country, we seem to doing just fine. Texas and Oklahoma are very heavily leveraged into oil producing and business is okay there. And we are in the Dallas show starting today and we are in the Tulsa, Oklahoma show as we speak and also we are hopeful and we don’t see a lot of negative impact on it even though oil prices where they are at 30 bucks a barrel are there about. So I mean, so go back to 2008 or 2007, I mean, the economy was doing fine in 2006 and 2005 and 2004 with low oil prices. So, companies adjust to it and we are not hearing a lot of, hey, I am not going to buy a boat or please cancel my order, because of what’s going on with the oil market right now. 
Bill McGill: I’d tell you specifically, Texas was up in the December quarter and the Houston Boat Show was up in units in the recently completed show. 
James Hardiman: Very helpful. And then, moving on to the ASP dynamic in the quarter. I guess, big picture, you seem excited about the fact that ASPs are down, I guess, why is negative ASP a good thing? I guess, secondarily, it seems like this is primarily a mix issue once yacht last year more in the way of runabouts this year. How should we think about that moving forward and on a like-for-like basis, so the same boat, how are we seeing prices trend – pricing trend there?
Mike McLamb: Yes, I can comment that last year’s December quarter, the 45% growth. On that call we said that, roughly unit growth was around 25% or 24% and the rest of it was average unit selling price because of a handful of much larger yacht. So it makes sense that it would come down in a more normal December quarter that had very healthy unit growth. If you have a – if mix is what’s driving unit growth meaning, you got more people coming in, buying smaller product that we did used to have. So a lot of what’s happening is, Sea Ray has relaunched some product that either was very long and the tooth which it did not simply not have, a 19-foot boat as an example. The new SPXs that they launched are being very, very well received and so we are selling a lot of them. So that’s part of the unit growth. Although we saw great unit growth across just about everything we sold in the December quarter. So, we always look at units and what’s happening overall in the industry and it’s better to see it going up. That’s the number one thing that we look at anyhow. That’s why we think it’s a healthy thing to have a negative AUP in the December quarter versus last year’s December quarter. Last year, in the March and the June quarter, we never called out a bunch of big boat sales. So I would think as we move forward, you would start having same-store sales growth driven by a combination of average unit selling price and also unit growth, which is what we would be expecting. On a like-for-like boat, the manufacturers are doing a very good job of holding costs down when they are replacing a model trying to get it at parity with the model that’s being replaced where price starts to increase then as if you take that, the boat is being replaced and you put a granite countertop in it versus a corian countertop as an example or yet you put different power on the back of the boat, then the AUP starts going up. So, I think, in general, we have a small single-digit percentage increase on a like-for-like model after you factor in those types of changes which will help drive same-store sales growth. 
James Hardiman: Very helpful. And along those lines, so it’s not – the ASP decline, it doesn’t sound like much of - any of that was discounting on your part and I guess as we move forward to the second quarter, last year, you stepped up promotions materially and that seem to be the biggest driver of, I think it was about 100 basis point decline in gross margins. As we sit here today a month into the quarter, but obviously that the most important months yet to come. How are you thinking about the need to discount? Should we benefit on a year-over-year basis from less discounting? 
Bill McGill: Yes, last year we did as we had – it was the first year of a lot of the new Sea Ray models coming and so we had a pricing strategy, basically leaving or setting the prices high on the newer models and lowering somewhat the margins on the – to be replaced models and I guess, I can say, we were overly successful at moving out the to be replaced models which is what drove the margins down, plus we were more promotional from a marketing perspective. You are right on that front as well. In the March quarter, it’s always one where dealers or manufacturers are more promotional because of the boat shows. And so that’s kind of normal. So we are out there right now at boat shows. We are trying to take advantage of the selling season, all of that stuff. We don’t think sitting here today on February 4, we need to be aggressive like we were last year. That can always change if we get into late February or early March and see something that makes us think we need to be more aggressive. But sitting here today, that’s not playing our strategy.
Mike McLamb: But being in ten displays in Miami, that’s not inexpensive effort. So, we’ve ramped up some of our spend at the Miami show understanding that’s a very, very important show to us, to our company and we are also in Atlantic City, just started today and I think we got 33 units there. And so, we will continue to put those dollars where they are important to spend them. But promotional, I don’t – we don’t see right now that we would be having to do as – at the same level we did last year. 
James Hardiman: Got it. And then just last quickie from me. You talked about the increase in SG&A being a function of a couple incremental items. There is a shift in boat shows. There were some Galeon costs. Mike can you teeth out how much from each of those you saw in that SG&A line and do you think the shift in boat shows impacted the top-line in anyway? Thanks guys. 
Bill McGill: Good question. So the Tampa Show and the Atlantic City Boat Show which were both very late September last year, where both in October completely this year and then the Galeon costs and there may have been some incremental top-line benefit, but would not have been very big, because whatever we would have closed last year, because they ended right at September 30. So…
Mike McLamb: Yes, probably none.
Bill McGill: Yes, so it would have been very material at all. And then it’s probably around 400 grants something like that, if you look at the cost that were expensed, just for those shows, shows aren’t cheap, you got a – there is an expense that comes with them, so. 
James Hardiman: Thanks guys.
Operator: [Operator Instructions] Next we’ll hear from Steve Dyer of Craig-Hallum Capital Group. 
Greg Palm: Good morning guys. This is Greg Palm on for Steve. Congrats on the good results. 
Bill McGill: Thanks, Greg. 
Mike McLamb: Thank you, Greg.
Greg Palm: Big picture, there has been a lot of talk about sort of weaker consumer discretionary, whether that’s auto, Pay TVs, RVs et cetera, it doesn’t look like you guys are seeing any change in sentiment. What’s your take on and how a boat buyer might be different than that from an auto VATV buyer et cetera?
Mike McLamb: Well, Greg, I think the big, the big message is, is that we have new innovative products that’s very exciting and also our average unit selling price compared to auto, I mean, we are in the Bentley market as far as autos are concerned. And so, we are not seeing what the auto groups are seeing right now, and some of that could be that it’s a lot of the auto is blue collar and more middle-class America, versus our buyers are more middle-class and people with a lot of discretionary dollars. So, we are just – we feel pretty good about it. I can tell you that our customers are still lot on the water. They are boating a lot. We just had a huge Azimut event than at the keys, than at Key West and I think we had 110, 120 people there attending it and many boats and lot of excitement and so our events are doing very, very well and our customers are out on the water. They are boating. Our customer satisfaction is at an all-time high, which is repeat and referral business and so when you look those signs, I think we are – we are looking pretty good, albeit, who knows what can happen to the overall economy. We got elections this year and all that noise going on. But, we are feeling pretty good about it right now. 
Greg Palm: That’s helpful. Moving on to M&A, you made a – what looks to be a nice small acquisition earlier this week. Any update on the overall environment out there?
Mike McLamb: Well, we are in discussion with several larger dealers and the timing it got to be right, we keep saying that over and over again, we are not going to do it unless it’s right for us and right for the people that are joining our family and it’s getting right. So, I’d say that the chances of something happening sooner is greater than it was six months ago or a year ago, and so, we’ll continue to look at and to analyze them, to review them, to do our due diligence and to see if when any of they make sense. And that’s the important thing. We are not going to do it for the sake of doing it. We are going to do it for the sake that it’s the right thing for MarineMax on the long-term and it got to make sense for the people that are joining our family. 
Greg Palm: Okay, then the last one, this one is for Mike. Given, some of those increased cost in the December quarter, anything to callout going forward and I am thinking out of the norm, where we should be sort of modeling some increased cost that might affect the flow through for a given quarter?
Mike McLamb: No, and the cost that I mentioned in our internal numbers and budgets and stuff, it was all factored into all that stuff. Obviously we know when boat shows are going to be long in advance and we knew we are launching the Galeon brand, all that was kind of baked into our directional guidance that we gave everybody a quarter ago. I’ll remind you and I think James had just asked it, we did call out last year during the March quarter some elevated healthcare costs and some elevated marketing costs. We hope there is an opportunity to have less cost and those we’ll know that for sure when we get through the March quarter. Our healthcare did come kind of inline as we wrapped up 2015, our fiscal year which is nice. But no, nothing to callout that you got to think through differently than the way you typically model the business. 
Greg Palm: Okay, thanks. 
Mike McLamb: Thank you, Greg.
Bill McGill: Thank you, Greg.
Operator: [Operator Instructions] And we’ll take a follow-up from Jimmy Baker of B. Riley & Company.
Jimmy Baker: Hi, thanks for the follow-up here. Just had a couple quick cash flow items I suppose. So, one, could you just comment on how many shares you bought back in the quarter and how we should think about that moving through the year? And then separately, any impact to cash flow or the balance sheet from taking on Galeon and I guess even more broadly, when you look at historical periods when your business was this profitable, you were leveraging the floor plan availability a little bit more, you had a higher percentage of inventory finance. So, is that an opportunity for you going forward to pull some cash out of the business so to speak and return it to shareholders?
Bill McGill: Again, another great question, Jimmy. I actually don’t remember exactly what we bought in the quarter. I know that we are up to about 700,000 total of the 1 million that was authorized and our plan would be is to buy the remaining 300,000 then we would go back to our board and request to reload it, which they have to approve that. The balance sheet is in great shape. To your point, we have cash, we have the capital, we have – we just increased our floor plant to give us flexibility to do a number of different things. So, we feel more comfortable today even then a quarter ago or certainly six months ago about the strength of the industry. So, the potential is certainly there to continue to buyback stock and return capital that way to shareholders. Oh, I am sorry, Galeon. Really no impact – no meaningfully impact to how we finance the company or to cash. It’s inventory that can be leveraged and it’s no different than if we were buying a different product from somebody else. So, it’s – it goes on our floor plan like another product would. 
Jimmy Baker: Okay, very helpful. Thanks. 
Bill McGill: Thanks, Jimmy.
Mike McLamb: Thank you, Jimmy.
Operator: And we will take a follow-up from James Hardiman of Wedbush Securities. 
James Hardiman: Hi, so quick follow-up from me. Same-store sales, versus total sales. Same-store sales were a little bit higher in the first quarter. You just bought a marina. How does that affect that dynamic and as we think about your – what was it, 9% to 10% type growth for the year. How is overall growth going to compare to same-store growth?
Mike McLamb: It should be pretty close, I would think like it was this quarter, we are not expecting material changes in store count unless we make an acquisition to what Bill had said. So, it had to track reasonably close to that, James. 
Bill McGill: But what’s happening there James, is, we bought the marina, so a lot of high and dry and wet slips in an perfect location in Pensacola. We weren’t on the water, we are currently not on the water there with our location. It’s a land lock store that we’ve done very well over the years with and so, our entire operation is being moved to the marina. And so, it won’t be an additional store count once we get the other store close which will happen in a couple of months. But, what’s important to understand there is, it’s a strategic acquisition for us because we do sell large yachts into the Pensacola area and not being on the water is a hindrance. So, this will be a real facilitator, especially larger boat sales there. 
James Hardiman: Got it. And then, last one from me. A question you may have answered a number of times on prior calls, I don’t think you’ve touched on at this time around. So obviously, you’ve got European boat makers that are benefiting from currency. What are you seeing in terms of price competition out of those guys and is that moving the needle in anyway? 
Bill McGill: It’s not really moving the needle about one way or the other. As we’ve said before, a lot of the components that go into the products that are European built come out of the US and some of the European manufacturers when euro was so high, were supplementing the price in order to be competitive here in the US and so, it gives them ability to make a little bit more profit and give us new models and that type of things. So we haven’t seen a reduction in price. But, if it continues to strengthen the dollar continues to strengthen and we may see some adjustment. We haven’t seen thus far, it’s been a none of them. 
Mike McLamb: Yes, I’d also come at the Düsseldorf Boat – at the Düsseldorf Show, no one over there was been aggressive on pricing.
Bill McGill: No.
Mike McLamb: Not at Düsseldorf. Yes.
James Hardiman: Thanks, guys. Great quarter.
Bill McGill: Thank you.
Mike McLamb: Thank you.
Operator: And next we’ll hear from John Lawrence from [Indiscernible]
Unidentified Analyst: Good morning guys. 
Mike McLamb: Good morning, John. 
Bill McGill: Good morning. 
Unidentified Analyst: Mike, would you comment just a little bit on, I believe that was last year in the March quarter, weather in the Midwest et cetera pushed out some of those deliveries into the June quarter. Is that right? Can you remind us about how that, some of that delivery schedule was impacted?
Mike McLamb: Yes, you are right, we did have some inability to close to boats as we ended the quarter last year. I think it was bigger at the year before though, John. I think last year it was small. I think the year before because of winter was much more tier than last year. But we did had some of that effect. I don’t remember the exact dollar amounts that moved from March into June. But there were some, you are right. Hopefully, we don’t have that type of winter again, not according to the Groundhog in Pennsylvania is supposed to have a nice spring and winter 
Bill McGill: And spring.
Mike McLamb: Which we would applaud after a couple bad years. 
Unidentified Analyst: And just on to follow-up on the last question, Pensacola, I’ve seen that location, I mean, Bill, I mean, I assume you are somewhat understating that, because, it’s a real game changer from a number of boats you can have in the water and the throughput of that facility with the new price, correct?
Bill McGill: That is, correct, John. But understanding, we have a very strong team there and they’ve done an exceptional job connecting with the large boat customer, but we just increased their chances of doing even more business up in that market. To your point at we can have more boats in the water. We’ve got a greater presence with the high and dry marina to capture those customers and so, we see it is a very a strategic move and very important for MarineMax and helping our team up there to be able to do even more business. 
Operator: And that does conclude the question and answer session for today. At this time, I would like to turn the conference back over to our presenters for any additional or closing comments. 
Bill McGill: Thank you, operator, and in closing, I'd like to thank all of you for your continued support and interest in MarineMax. Mike and I are available today, if you have any additional questions. So, thank you.